Operator: Good morning, and welcome to the Card Factory FY '26 Interim Results Presentation. Please welcome to the stage, CEO, Darcy Willson-Rymer.
Darcy Willson-Rymer: Good morning, everybody, and welcome to our interim presentation for FY '26. Thank you for joining us today, especially those that are here in person with us at UBS, but also thank you for joining us online. So I'm Darcy Willson-Rymer. I'm the CEO of Card Factory. Joining me today is Matthias Seeger, who's our Chief Financial Officer. So following an overview of highlights from the first 6 months, Matthias will then provide a financial performance update for the first half of FY '26 and an outlook for the remainder of the year. I will then provide an update on the positive progress we continue to make delivering on our growth strategy. Matthias and I will be happy to answer your questions at the end. So the first half of this financial year has seen continued momentum across the key building blocks of growth. In particular, the acquisition of Funky Pigeon was a significant milestone for our business, and we're excited about the growth potential that this will unlock. We are now well positioned across our stores, online and U.K. and international wholesale partnerships program to deliver on our growth strategy as we develop Card Factory into a leading global celebrations destination. As we enter our busiest period of the year, there is confidence across the business that our value and quality offer will continue to resonate with customers looking to celebrate Halloween and the festive Christmas season. Many colleagues are listening today, and I'd like to personally thank each and every one of you for your unwavering commitment to the delivery and the energy, pace and dedication that you show day in and day out. Thank you. The first half of FY '26 saw resilient revenue performance with our core stores business continuing to perform positively. This was underpinned in half 1 by new store openings and a robust seasonal trading, which offset the impact of a softer summer high street footfall as a result of the warmer weather. In addition, the businesses we acquired in the U.S. and the Republic of Ireland last year are performing in line with expectations. As a result of this resilient performance, we are pleased to announce the interim dividend of 1.3p. As mentioned, a highlight of our growth strategy progress in the first half of FY '26 was the acquisition of Funky Pigeon, which supports our vision to create an online celebration destination for customers. With the acquisition complete, we can now work to accelerate our digital strategy, particularly in the card, attached-gifting market as Funky Pigeon provides us with increased operational capability, a quality technology platform and a large established customer base. Work is underway to unlock annual synergy benefits of more than GBP 5 million through the optimization of manufacturing and fulfillment, the integration of technology platforms and strategic project ranging, all of which are expected to be achieved through the remainder of this year and the next financial year ending January 2027. Looking ahead to the peak second half of the year, our expectations for the full year remain unchanged and building on the success of our half 1 seasonal performance, our peak trading plans are in place to deliver our expanded celebrations offer and strong value proposition, particularly across Halloween and the important Christmas season. As stated in previous announcements, PBT will follow a similar second half weighting profile as we've seen in FY '25, and this reflects the seasonality of sales, timing of investments and realization of inflation mitigation across through our Simplify and Scale program. So for more detail on this and our financial performance for the 6-month period, let me hand you over to Matthias.
Matthias Seeger: Thank you, Darcy, and good morning. I'm going to take you through the results for the first 6 months and provide some additional perspective on the second half. We continue to write our own story. It's one of resilience, balanced growth, successful strategy delivery and of value creation for our shareholders. Our business has delivered a resilient financial performance despite a challenging economic environment. Total group revenue increased by 5.9%, which is at the top end of our guidance of mid-single-digit percentage growth. The underlying cash generation of the business was strong with free cash flow productivity within our target range of 70% to 80%. As discussed in our recent trading update, a decision to bring forward efficiency-focused investments, including an upgrade to our point-of-sale till systems contribute to adjusted PBT for the first half being down by GBP 1.3 million. The benefits of our Simplify and Scale program largely offset the impact of the significant increases in national living wage and national insurance contributions. The 2 acquisitions completed in the U.S. and in the Republic of Ireland in the second half of last year contributed positively in line with our expectations and the acquisition economics. Continuing our journey of delivering predictable, sustainable and growing returns to our shareholders, we are declaring an interim dividend of 1.3p per share. As I mentioned, total group revenue increased by 5.9% from GBP 233.8 million to GBP 247.6 million. Our core business, stores in the U.K. and in the Republic of Ireland, which account for 92% of sales delivered total store base growth of 2.9% with robust like-for-like sales growth of plus 1.5%. We added 30 net new stores to our estate in the last 12 months, accounting for 1.4% of the store base growth. Total greeting card sales remained strong, growing in the low single-digit percentages. Our partnership business more than doubled, underpinned by double-digit organic growth and incremental contributions of the 2 acquired businesses in the U.S. and in the Republic of Ireland. We're very pleased with the performance of these additions to the Card Factory Group. Online sales were negatively impacted by the closure of Getting Personal at the end of January this year as anticipated. At the prelims, we talked in detail about our unique retail business in the U.K. and the Republic of Ireland. To reiterate, at the heart of our business success is a business model built for resilience and long-term profitability. We help people celebrate life's occasions at affordable prices backed by a strong value proposition. We have been extending our product offering to achieve non-card categories to grow average basket value and drive like-for-like sales even when footfall is softer. We're reaching more customers in more locations by opening new stores in underserved areas. And our strategy is working. We had robust store base growth of plus 2.9% in the first 6 months with like-for-like growth and new stores contributing in roughly equal parts. In the first half, our share of gift and celebration essentials increased to 53.4% and the average basket value rose to GBP 4.95 this year from GBP 4.75 for half 1 last year, reflecting our evolving range. Our store network grew by 30 net new stores in half 1, including our milestone 1,100th store. As of the end of July, we had 1,103 stores with additional store openings leading to a total of 1,111 stores operating today. And we are well on track to deliver our target of 25 to 30 net new stores this fiscal year. Every new store extends our reach to more consumers and more locations and delivers high returns using our low capital model. Adjusted profit before tax is down versus last year, as we indicated in our August trading update. Excluding the net impact of the largely contained inflation and the accelerated investment in our point-of-sale upgrade, underlying performance showed strong progress driven by sales growth. We substantially mitigated the H1 inflationary headwinds of 4.4% on our total cost base through the benefits of our Simplify and Scale program. The recent acquisitions of Garven and Garlanna contributed positively as did the closure of Getting Personal. Half 1 PBT margin of 5.3% compares with last year's PBT margin of 6.2%. We expect PBT margin in half 2 to increase by more than 10 percentage points as it did last year. Half of this increase will be attributable to the half 2 operational leverage with the remainder delivered by a combination of the net benefits of Simplify and Scale and sales growth. I mentioned it before, we cannot control inflation, but we can control how we respond. Inflation will add again more than GBP 20 million to our cost base this year. This is a cost increase of 4.4% on total cost. Over the past years, we have proven we can mitigate inflation through our structured multiyear Simplify and Scale program. Simplify and Scale program focus on efficiencies, productivity and range development, including pricing by eliminating non-value-added and manual activities, reducing duplications, streamlining operations and optimizing ranges. All plans are in motion to fully offset the cost price inflation for FY '26. As with last year, most benefits will materialize in the second half. In half 1, we delivered total efficiencies of GBP 9 million from streamlining our end-to-end operations and optimizing our range, including pricing. This included in-sourcing, printing and distribution of store merchandising materials, optimization of warehousing and agency labor and achieving a 9% improvement -- efficiency improvement in our stores. Key plans for half 2 include automating support center back-office tasks and processes as well as further store labor efficiencies enabled by the new point-of-sale till system, including streamlining back of store activities and hybrid tils. Let me now provide some further perspective on half 2. The profile of revenue and profit between half 2 and half 1 this year is largely in line with last year. As a reminder, the phasing of the inflationary headwinds and investments has a disproportionate impact on the first half, while H2 benefits from the positive impact of the Simplify and Scale program, higher sales, operational leverage and stronger margin. We anticipate H2 sales at a similar rate as growth as in H1, including the additional -- excluding the additional sales from Funky Pigeon. The growth in the second half will be underpinned by total store sales growth and continuous contributions from previous acquisitions. Store sales growth reflects the net new store openings and the like-for-like growth supported by a strong product offering and trading plans. Turning to cash generation, use of cash and debt. Underlying free cash generation of GBP 37.9 million was strong over the past 12 months with a free cash flow conversion of 78% versus earnings. Capital expenditure of [ GBP 19.3 million ] was materially in line with our guidance of GBP 20 million to GBP 25 million. We invested in our new store openings, store refits and upgrading store layouts, PoS till system upgrades and enhancements to our online experience. Debt service remained broadly consistent with prior periods. We paid GBP 16.9 million in dividends, reflecting FY '25's interim and final dividend payment. Surplus cash after payment of dividends was reinvested in M&A and the acquisition of Garven and Garlanna as well as the onetime transaction cost of Funky Pigeon. Over 12-month period prior to the end of July this year, net debt increased by GBP 4.3 million due to the one-off items unrelated to business performance. Half 1 cash generation and use followed the typical seasonal profile as we build stock ahead of the main trading period, but performance improved substantially compared to last year due to improved working capital. For H1, capital expenditure of GBP 7.6 million was slightly up by GBP 1 million versus the prior year. Our leverage remains low at 1.0x at the end of July, well below our maximum leverage target of 1.5x and broadly in line with last year. At period end, the group had cash and headroom in its debt facilities of GBP 46 million with a GBP 75 million accordion option. After period end, we increased the group's RCF facility from GBP 125 million to GBP 160 million using GBP 35 million of the accordion option to part-fund the acquisition of Funky Pigeon and provide further headroom for the growth of our business. We are committed to creating value for our shareholders by delivering on our business growth strategy and plans. We deliver our plans and financial targets in a disciplined, balanced and sustainable way, returning cash to shareholders while investing to deliver the strategy and maintaining a strong balance sheet. We will grow sales in the mid-single-digit percentages and profit before tax in the mid- to high single-digit percentages. We are a highly cash-generative business with free cash conversion of 70% to 80%. Delivery of our target is underpinned by store like-for-like growth, new store openings, growth in online and partnerships in combination with mitigation, our cost price -- the cost price inflation through the Simplify and Scale program and a disciplined approach to investments. Our capital allocation policy has 4 guiding principles. We maintain a strong balance sheet within a clearly defined debt leverage range. We invest in a disciplined financially sound way to support our growth strategy. We provide regular progressive returns through interim and final dividends, and we fund dividends from free cash flow, managing surplus transparently and returning it to shareholders where appropriate. We are committed to providing attractive shareholder returns, as I mentioned, as the value of our business increases behind the disciplined execution of our robust strategy and plans and by returning cash to our shareholders. Predictable progressive dividends are a cornerstone of our capital allocation policy. Therefore, we are declaring an interim dividend of 1.3p per share. This is based on an expected progressive full year dividend, maintaining a cover ratio of approximately 3. Furthermore, we are announcing the intention to start a share purchase program. The objective is to mitigate dilution to shareholdings. The annual scope will be 3 million to 4 million shares. This will enhance EPS by about 1% every year. On the 14th of August, we completed the acquisition of Funky Pigeon. Darcy will provide you with a broader strategic perspective shortly. I will briefly summarize the key financials of the transaction and its impact on our guidance. The purchase price was GBP 24.1 million, implying an EBITDA multiple below 5 based on annual EBITDA of GBP 5 million. The acquisition was funded by extending our extended RCF debt facilities from GBP 125 million to GBP 160 million. Funky Pigeon adds GBP 32 million sales and GBP 5 million EBITDA to the group. Furthermore, we expect to generate more than GBP 5 million synergies through optimizing manufacturing, fulfillment, technology, operations and product ranges. These synergies will be delivered over the next 12 to 18 months and will fully materialize from February '27, i.e., in our fiscal year FY '28. For FY '26, we expect that 5.5 months of Funky Pigeon trading will increase sales by about 3% versus current guidance. Our guidance for FY '26 profit before tax remains unchanged as additional profit offset by additional financing and transition and integration costs. In this context, our leverage at the end of this fiscal year and January is expected to increase by 0.3x to about 1.0x, still well below our target of 1.5x. Our mid- to long-term guidance remains also unchanged with mid- to high single-digit PBT percentage growth every year. In summary, Card Factory sales performance was resilient against the backdrop of challenging market conditions and softer footfall. Our recent acquisitions are performing well and are accretive to the bottom line. We are well positioned to continue our growth in the second half. Our Simplify and Scale program has been instrumental in containing cost price inflation in half 1 with all plans in motion for half 2. We acknowledge that the second half is crucial. This weighing has been the new normal, and we have proven last year that we deliver our plans in half 2. We are excited about the high level of product newness and our strong commercial offering. And we are on track to deliver our plans for Simplify and Scale. Therefore, we remain confident to deliver on our full year expectations. And with that, I will hand back to Darcy for the strategy update. Thank you.
Darcy Willson-Rymer: Thank you very much, Matthias. Let me now provide an update on the continued progress that we have made delivering on our opening our new future strategy in the first half of FY '26. Our strategy is transforming Card Factory into a leading global celebrations group with an extensive U.K. and Republic of Ireland store footprint and a growing international presence. We are building upon the continued growth and profitable performance of our store estate and our leadership position in the U.K. card market, where we continue to deliver year-on-year revenue growth. By continuing to successfully expand into the gift and celebration essentials categories, we are addressing a GBP 13.4 billion celebration occasions market. This will be further accelerated by the acquisition of Funky Pigeon as we deliver on our online vision of creating a digital destination offering an extended and complementary offer to our stores. Our partnership strategy is enabling us to build out our points of purchase in the U.K. and Ireland, reaching customers beyond our existing retail footprint. Internationally, we are looking to disrupt the English-speaking markets where we've identified an GBP 80 billion market opportunity, of which North America is the significant majority. Let me start by outlining how our growth strategy is enabling us to increase our share of the celebrations market in the U.K. and Ireland. To unlock this GBP 13.4 billion opportunity, we continue to evolve our range, which in the first half of this year saw 49% newness across all categories as we respond to changing consumer trends. Range innovation remains at the heart of our planning across all categories. This follows a test-and-learn approach, which most recently saw us launch a new in-house designed premium card range, which is allowing us to broaden our appeal to a more affluent demographic. By doing so, we are sustaining a higher average selling price while continuing to deliver superior value to our competitors. The success of the range development continues to drive category growth. A few highlights in the first half included 28% growth in our baby gift sales to GBP 1.3 million, a 23% growth in tableware to GBP 2.5 million and a 20% growth in stationery to GBP 3.2 million. To enable this growth in key celebration occasions category, our strategy closely aligns range development with store space optimization. So as an example, in half 1, this approach saw us condensed, but updated milestone age gift range introduced, which freed up additional space for new stationery ranges. So together, this contributed to a 20% like-for-like increase in stationery sales in half Y '26 and a 7% year-on-year uplift on our milestone age range despite the lower space allocation. Our growth strategy is enabling us to reach more customers in the U.K. and internationally, both in more store locations and online. In the U.K. and Ireland, we continue to expand our profitable store estate with 13 net new stores opened in the half year '26, surpassing the milestone of 1,100 stores. Our wholesale strategy continues to deliver success for our partners and ourselves, delivering double-digit revenue growth of 15.7% in half 1. The successful U.K. rollout of our full-service model to the entire U.K. and Republic of Ireland elder estate in FY '25 has seen the breadth of our offer expanded to cover seasonal card in the first half of the year across Mother's Day and Father's Day as well as gift bags as part of their special buy offers. We're also in the midst of our first international full-service model rollout to The Reject Shop in Australia, having successfully onboarded a third-party logistics provider in the region. This has also supported an initial entry into the New Zealand market via wholesale distributor arrangement. Whilst a modest regional expansion, this is in line with our target market growth strategy. On North America, we've made good progress in establishing the foundations for growing our business in this key territory, which is a card market 5x larger than the U.K. Our ongoing trial with a leading U.S. retailer has successfully demonstrated market demand, providing -- proving that our value-focused card offer resonates with the U.S. consumer and has enabled us to create a robust operational capability to service retailers in North America. We were delighted to announce the completion of the Funky Pigeon acquisition in August. This is a significant milestone for our business as it accelerates our digital strategy, which I've previously stated was not developing at the pace we desired. So let me provide you with the rationale behind the acquisition. While we are the leading card retailer in the U.K., we have headroom to grow our online market share. In particular, we have wanted to deliver a convenient and great value card with gift-attached offer online that leverages our existing market strength. At the same time, we want to take full advantage of our nationwide store estate where we have already made headway through our existing omnichannel capabilities. And as we continue to develop as a leading celebrations retailer, the opportunity is to extend our store-based party and celebration offer by providing both our in-store and online customers with the ability to seamlessly access an extended range through our omnichannel services. Whilst our direction of travel was clear, we were not making the progress at the pace we wanted. And the purchase of Funky Pigeon met the challenge by upweighting our technology capabilities and accelerating our card and gift-attached online offer alongside the benefit of a large established customer base. And as well as accelerating our digital strategy, the acquisition also creates a structurally profitable online business within Card Factory with a strong foundation for the strategic growth that we are seeking. As immediate near-term priorities, integration is well underway, and our focus is on 3 things. Firstly, we are reconfiguring the manufacturing and fulfillment approach to make best use of our manufacturing facility in Yorkshire, combined with the existing Funky Pigeon fulfillment facility in Guernsey. This will provide the flexibility we need to offer a seamless direct or in-store collection service for our customers at advantageous costs for us and our business. Secondly, we are undertaking at pace the strategic planning that will determine how we take full advantage of the Funky Pigeon platform. And finally, we're undertaking an extensive product review and planning so that we are offering the right range. These priorities will be achieved through the next 12 to 18 months. In addition, plans are in place to enhance data collection from our 24 million unique Card Factory store customers. This will allow us to increase our share of their celebration spend by leveraging data across the Funky Pigeon digital platform and our existing omnichannel offer. Looking ahead, I'd like to start by summarizing our plans for the important half 2 trading period. We enter our peak trading period extremely well prepared and best placed to meet customer needs due to our value and quality offer. Ahead of the key Christmas season, we have significantly expanded our great value Halloween range. This is now available in our stores with supporting online ranges and is fully aligned to consumer trends for this growing celebrations occasion. Our new Set to Celebrate program has rolled out ahead of peak trading period in all of our stores. This will drive high standards of operational execution and ensure a quality and consistent customer experience in our stores. We have a strong Christmas range built around our value proposition, which features over 80% newness on gift, 95% newness on celebration essentials and an expanded premium card range as part of our 30% newness on card. Operational preparations for the Christmas trading period are well advanced with a stock build on schedule and optimized replenishment processes in place. So in summary, we have delivered a resilient top line performance for the first half of FY '26 due to the positive performance of our stores, especially within the key spring seasons as well as the effective execution of our growth strategy and the positive contribution we are seeing from our acquired businesses in the U.S. and the Republic of Ireland. Initiatives identified through our continuous Simplify and Scale, productivity and efficiency program have mitigated almost half of the more than GBP 20 million FY '26 headwind cost inflation. This has included significant rises in national living wage and employer national insurance contributions as well as wider inflationary pressures. Robust plans are in place to mitigate the full impact through half 2. Despite the challenging consumer environment, our expectations for the full year are unchanged as we continue to deliver on our expanded celebrations offer and strong value propositions. PBT is expected to follow a similar profile to FY '25 with delivery weighted to the second half, reflecting seasonality of sales, timing of investments and the realization of inflation mitigation benefits through our Simplify and Scale program. Therefore, for the adjusted PBT in FY '26, we expect to deliver mid- to high single-digit percentage growth increase. By delivering on our growth drivers, we will continue to deliver sustainable, progressive returns to our shareholders. So thank you again for attending our results presentation. And Matthias and I will now be happy to take any questions that you may have. So thank you. There's a -- for the benefit of those who are online, there's a microphone in the side. So if you could use that, that would be great. We'll take questions in the room first and then go to a line. So Kate?
Kate Calvert: Kate Calvert from Investec. I'll go for the traditional 3 questions. First question is just on your new store opening plans going into next year. Are you still planning for another net 25 to 30 stores? Do you want to [indiscernible] the question we just did or we'll just do them one -- Okay. Second question, you talked about leveraging your store data with Funky Pigeon data. Are you hinting at a loyalty card at some point given also the new EPOS system? And my third question is just on partnerships. Have you actually grown your business with your U.S. retailer year-on-year as you're going into the second half? And also, can you just update us on South Africa because I don't think you mentioned it at all as what's going on there?
Darcy Willson-Rymer: Very good. Do you want to do stores then I'll do...
Matthias Seeger: Yes. I mean we -- the answer -- simple answer is yes, yes. We are -- as we communicated, our plans are to open 25 to 30 net new store every year for the foreseeable future. We are on track to deliver this at this rate this year. Over the last 2 years prior to this year, we opened 58 new stores. So yes, we are on track, and we have line of sight of that.
Darcy Willson-Rymer: And then in terms of your second question, in terms of the point about leveraging data, one of the things that we've got plans in place and we're working on is how do we collect the data from our 24 million unique customers that use us and therefore, collect the data in the way that we can then talk to them appropriately based on their needs. And the point of that is if the average U.K. person spends about GBP 258 a year on their celebrations of which we get about GBP 22. So it's about how do we get more of their celebration spend and how do we leverage both our stores and the online platform in order to do that. The specific mechanic of the data value exchange, we will test sort of various mechanics. On the specific point about loyalty card, a traditional loyalty card that sits in your wallet, probably not, given we're EDLP, but it's about how do we get the loyalty to get more of their celebration spend. In terms of partnerships, the year-on-year comparison actually have for that particular customer, we don't basically split it out. There isn't a like-for-like comparison because last year, all we did was put in sort of 40 to 50 Christmas cards across all stores in this year. We're trialing the -- in about 100 stores. What I can say is that the products that we're seeing -- so we are alongside another card supplier. We're seeing really good rates of sale. The particular customer we're dealing with is actually really happy with it. And so the range is resonating. And then sort of the next step is for us to convert that to the full service model, but that requires -- that just requires some technical work. So we're doing Aldi first, TRS second, and we'll do that 1 next. And then in South Africa. South Africa is a work in progress. We're seeing some good traction on getting some new business. So one of the large retailers that this business -- that the South Africa business never sold, we will be shipping to them sort of early next year, really good progress there. There's still quite a bit of work to do on the back office, which the team are on with. Go on.
Hai Huynh: It's Hai from UBS. I have 3, if you don't mind. On the volumes perspective, so you've got 1.5% like-for-like. And you quoted 4.1% average basket value increase. Now I know that's partly range, partly pricing, but how do I read into the volumes behind that? Is that flat? Is that negative? And to meet your targets, how are you seeing that dynamic on pricing and volumes in the second half? Second question, could you walk me through the shape of the contribution from Funky Pigeon, if I'm interpreting this right? So you've got 5.5 months of revenue top line contributing this year. 5 -- and then the full contribution of PBT from that level in 2027, but the synergies will only start coming in, in FY '28, right? Or is there already some synergies expected towards the second half of FY '27? And lastly, CapEx going forward, there's a slight increase year-on-year, but that's partly due to the point of sale. Do you see it normalizing going forward given your leverage? Or what's your view on CapEx going forward?
Matthias Seeger: Thank you for your questions. So first to address your questions on half 1, you stated correctly that our like-for-like was 1.5%, driven by ABV of 4.1%. About half of that was behind pricing. As we look forward into half 2, we expect one to see a normalization of footfall, though we expect it not to be at the same level as last year. But our multiyear experience -- historical experience is that during the festive seasons, footfall has been around the same level. Second, we do have a very strong program, both in product offering and trade program. Darcy has commented on that. Behind that, we do expect to see also a strong ABV progress, of which part of it will pricing. So looking at the round of all our commercial plans, including what we know historically from the season, we are very confident on our half 2 -- the execution of our half 2 plans. Let me take the CapEx question first. Our guidance has been and remains CapEx spending of GBP 20 million to GBP 25 million. Last fiscal year, we were at GBP 18.7 million below that over the last 12 months, straddling to fiscal year, it was GBP 19.3 million. That's well within the guidance, and we don't expect an update on the guidance with regards to that range of capital spending going forward. On Funky Pigeon, we've been completing the acquisition 6 weeks ago. We started the integration work. We are progressing on fine-tuning the plans to deliver our synergies. And what we are confident in that is that we will bring these synergies to the bottom line in their full scope starting February '27. What happens in between, we will need to further fine-tune to optimize the execution of the plans. Therefore, at this moment, I think it would be too early to comment on that.
Adam Tomlinson: Adam Tomlinson from Berenberg. The first one is just on the cost savings for H1. So I think you've talked to about GBP 9 million cost savings achieved in H1. Just a little bit of color on that would be great just in terms of the breakdown. And within the EPOS system, I think it's Phase 2 now you're on for that. So just, again, a little bit of detail in terms of the benefits to come through from that will be very helpful, please. Second question is just on stores. With those new openings, just some color on where you're finding those sites, that split between maybe high street retail parks and the relative performance of those would be interesting. And then a question on gross margin. So that's coming down, I think, in H1 due to that mix impact. So just your expectations in terms of how we should think about that going forward?
Matthias Seeger: I guess I get all the fun today. Cost savings, yes, indeed. As we discussed, we do have a multiyear structured savings program. And I think that's important to highlight that we are looking at -- in a systemic way about opportunities to -- that are unique to us across our end-to-end value chain and how we drive efficiencies for all our parts of the business. Out of the GBP 9 million, there was obviously a carryover -- small carryover effect from last year, savings that we initiated in the second half this year, complemented by new programs. We mentioned a few during my part. One was the in-sourcing of printing and supply of [ merching ] materials for our stores. The second one was the optimization of warehouse and agency labor. We also changed our -- by the way, our logistic partner, which resulted in savings. And we drove more efficiency into our store operation by reducing store hours by 9% year-on-year. All of what I just mentioned will carry on into half 2, obviously, and will be complemented by further savings. You mentioned our point-of-sale savings. We have completed the rollout of the PoS upgrade in early August through our acceleration. And that will give us tangible benefits in what I would call Phase 1 because it helps us to streamline our back of store activities and also the efficiency at the till itself. But equally important, it lays the foundation for better engagement with customers in the future, capturing customer data and offering additional services to customers in the future through the system. On store locations, I mean, we do have a proven approach of identifying -- a data-based approach of identifying underserved locations and as you know, we have a very thorough methodology of assessing the potential -- sales potential of a specific site as we operate so many sites in the U.K., and we have reference case and we assess each store opening on its own merit, including potential cannibalization to nearby stores and requiring a payback of less than 2 years based on a moderate low investment capital spending of GBP 80,000 to GBP 90,000 a year, which will give great returns to our shareholders because we operate a store much longer than 2 years, as a matter of fact, in excess of 10 years on average. With respect to the locations of store openings, we have been quite successful in opening stores in the Republic of Ireland to a disproportionate degree. But we are finding locations also in the U.K. across shopping centers, outlets, high street. I wouldn't single out any specific location that sticks out of that. With respect to the last question on gross margin, as we integrate new businesses, gross margin, product margins will slightly change versus our previous operations as costs show up in different lines of the P&L. Our partnership business obviously doesn't have to carry store costs. So you will see differences in product margin all the way trickling down to gross margin. What we are focusing on is making sure that they are earnings enhancing and therefore, increase our PBT. And for the recently acquired businesses of Garven and Garlanna, they are definitely increasing or enhancing our PBT margin.
Unknown Analyst: Yes, 3 from me, please. If we come back to the product gross margin question first, actually. I mean, I think the year-on-year performance was down nearly 300 basis points. I was wondering if you could differentiate between what was mix, including partly through acquisitions and maybe talk a little bit about how your product margin performance has been on a like-for-like basis and whether or not there are any one-off factors in there, maybe including some x range clearance, any factors like that, which could be a factor to think about going forward? Second question, just in relation to working capital performance. It looks like you had a good earnings in the first half. How much of that is permanent? And how much of that is maybe some phasing benefits, which will just wash through over the year? And do you think that across the enlarged group with Funky Pigeon, do you think there's some opportunity to realize some efficiency across working capital, let's say, over a couple of years? Sorry, there was a third question just in relation to the savings as well, the efficiencies. Could you just quantify what, if any, year-on-year benefit you had within business rates?
Matthias Seeger: All right. I'm going to continue to have all the fun. Right. You're right. When you look at the total company, product margin has been down year-on-year by about 200 basis points on the product margin level. The large part from that was on the mix effect that I referenced. But you also keenly noticed that we did have some sell-through programs, sellout programs and the range change that contributed part to that, that we would consider a one-off. We had a hard change on some of the range changes. We are moving to a soft change going forward. So I would consider that a one-off. And we also had a sellout program for some remnants, which I would also consider a one-off. And I think that neatly dovetails into how we look at working capital and one of the main components being inventory. Being -- having this end-to-end supply chain, we should have full visibility of all the inventory at all parts. And we do have major progress against that, but we still have further opportunity to really get to the full end-to-end, which means that we have more opportunities to optimize our inventory levels, and that's one of our focus points going forward to ensure that we have the right stock in the right place at the right time in the right amount. And therefore, yes, we see more opportunities and efficiencies in that area. And that includes in the future, of course, Funky Pigeon. So that includes stores, online as well as partnership. On the business rates, what we have seen is when we renewed our -- or putting it from a cost of occupancy, when we renewed our leases year-on-year, as you know, we have about 250 lease events, renewal events every year, we still see an opportunity to get to better lease terms. With respect to the business rates, they haven't changed, and we don't know yet, of course, going forward, what the detailed change in the business rates will be.
Darcy Willson-Rymer: The only thing I'd add on the business rates before everybody gets too excited, of course, we have warehouses. We've got the factory as part of the vertically integrated model. So we'll see if the chance goes ahead with what is planned, we'll see some ups and downs in that before anybody gets carried away. Should we move to online?
Operator: Yes. So we've had a large number of questions come through online, Darcy, Matthias. So we'll group some of these together into some common themes to try and get through as many as possible in the time we've got. So first up, are you still on track to deliver group total revenue of GBP 650 million and 14% PBT in FY '27 as outlined at the Capital Markets Day in 2023? And if not, can you please add some color as to why and what your revised expectations are?
Darcy Willson-Rymer: Great. Thank you very much. So I think we spoke about this in quite some detail at the prelims. Effectively, given off the -- 2 things around the Capital Markets Day target and what we spoke about last time was, first of all, just given the very high inflationary environment that we landed ourselves in post COVID that wasn't in the plan. And also, of course, when we wrote the plan, we're in 2025 now. We know a lot more now than we knew back then. And effectively, at the prelims, what we did is we updated our guidance to basically say from that point onwards, you should expect mid-single-digit sales growth and mid- to high single-digit profit growth. And yes, so that's that.
Operator: Okay. Thank you. And the next ones relate to questions that we've had around the online business. So firstly, what do you need to start competing more successfully in the online market? Is it technology, operations, marketing? And secondly, why was online not developing as desired? And what makes it tough to compete online?
Darcy Willson-Rymer: Yes. I think the online story, I think, is reasonably well documented. But I think the challenges we face are -- you need to go back into the history, which is when sort of around about the IPO when Card Factory first went into online, they did it through the acquisition of Getting Personal, which was just a premium products business. That business model was based around paid search and the platform wasn't right for personalized card sort of, et cetera. So -- and then when they set up cardfactory.co.uk, it was set up as like a big store. So the majority of sales were coming through our store products, whereas in actual fact, that's not what we want online to be. So we have clarified the strategy around the 2 missions of direct recipient with attached gift and then the broader celebrations. Clearly, Funky Pigeon allows us to basically make a step change in that. And our view is it was better to buy rather than build. And now it is about the integration of that and the -- basically the execution of the strategy, and that is really about -- it's a combination of all 3, having the right technology, having the right product, having the right marketing. And of course, the big opportunity for Card Factory is leveraging the 24 million unique customers that we have that visit our stores because it's the same customer that shops in store that shops online, but yet we don't get a significant amount of their online spend. And it is about how we go about doing that. That's the mission and that's the challenge for us.
Operator: Next up, can you please explain the FX derivative loss you've recorded during the period?
Darcy Willson-Rymer: Great question.
Matthias Seeger: Great question. Listen, we know how to develop celebration products. We know how to manufacture them. We know how to sell them. We are not professional FX traders, which is why our Board has approved a hedging policy, which ensures that FX doesn't impact our -- or the volatility in FX doesn't impact our business. As part of that, we are hedging over a 3-year time horizon. And we have essentially locked in this year and large part of next year. That helps us to ensure that we deliver on our PBT guidance. Now as part of that, we have derivative contracts, and we recognize them in line with the accounting guidelines at each ending day of a period. The dollar is at $1.35 and our derivative contracts are in the high $120s. Therefore, we have to recognize a loss that is a hypothetical loss and in that sense, will never materialize because -- well, the way to look at it, it's like forgone opportunity benefits, right? If the market stays at $1.35, then we would only benefit from a lower exchange rate. However, if the market changes and the dollar comes down to $1.30, actually that balance sheet loss will go away. So it's a bit of a complicated, unhelpful perspective to really understand business performance, which is why we are adjusting it or excluding it from our adjusted profit.
Darcy Willson-Rymer: I think also just the most important point here is our ForEx policy about giving certainty to what we're doing and how the business has benefited from that over the last 5 years.
Operator: There's a number of questions that have come in regarding acquisitions. So a couple to reel off here. Firstly, can you provide specific EBITDA margin and revenue growth projections for your 2 most notable recent acquisitions, Funky Pigeon and Garven over the next 2 to 3 years and outline the risks to their scalability in the U.S. and online markets? Secondly, will you be breaking out any sales from the recent U.S. acquisition? And can you share more information on its performance and integration and what the exact model is there? Beyond the U.K., do you have any plans to grow your online offering in other territories? And if so, which markets are you considering? And finally, are there any other acquisitions planned?
Darcy Willson-Rymer: Very good. I think just to open up on the will we provide specific margins across particular customers in particular countries? The answer is no, we're not going to split that out. I think for reasonably obvious reasons in addition to the competitive sensitivity as well. But what I -- so -- but let's talk about some of them. So I think if we look at the Garven business. So we acquired that last year. That business is in the celebration essentials market. It's mostly roll, wrap and bags, but it does a little bit of gifting and a little bit of party, and they are selling to premium retailers, mostly own label. So they design, arrange for the manufacturing and then we sell at the factory gate to the U.S. retailers. So the U.S. retailers basically pick it up and pay for shipping and any tariffs due. So it's largely a design-led range in those categories. And that business is absolutely on track with the acquisition economics and our plans and it was slightly down because of tariffs, but up because of the opportunities that the team there found basically as a result of a bit of volatility in the market, and that business is performing well. And the sort of plans is to complete all of the learnings that we need to do on the card side, particularly when you make the changes we need to be able to migrate to a full service model. And then at some point, we'll back cards into the Garven business. And then our U.S. entity, it will be sort of -- we'll be ready to scale. I think in terms of what are the risks, the risks are, it's a large market with 2 incumbent players and compared to them, we're a small U.K. sort of business. And just the sheer way this is done in geography, that's where most of the risks lie. However, we remain confident, given how our product resonates in the market, how it compares in pricing plus the learnings that we've taken sort of out of Australia. So we remain confident of the opportunity in the U.S. In terms of online offer in other territories, not at this moment, I think we have to deliver on the integration of Funky Pigeon and we have to deliver on our growth plans for the U.K. market. And when we're satisfied that we've got the right momentum, we can then potentially think about something else. I think -- are any other acquisitions planned, I think we've always said the point of acquisitions was about things that will help us accelerate the strategy, that are accretive to shareholders, but our current focus now is on the integration and the delivery of the things that we have in order to accelerate the strategy. Did I -- yes.
Operator: So penultimate question in relation to Funky Pigeon, 2 parts to this. Are you going to merge the tech platform and share developers across the Funky Pigeon and Card Factory online? And can you provide some more color around how you will drive value from Funky Pigeon and turn around the online offering?
Darcy Willson-Rymer: I think in terms of -- we are definitely going to have one tech platform, and it will be the team are basically working through exactly how that's going to look and how that's going to be. But one of the synergies is around merging basically the tech platform. And then effectively, how do we drive value from it. It's the things that I've already mentioned. It's basically the strong online direct recipient offer that Funky Pigeon has, developing the extended party and celebrated range, leveraging both the existing Funky Pigeon customers that they have plus the marketing machine there and the 24 million unique Card Factory customers. So that's -- those are the plans.
Operator: And final question, I appreciate we are at time. So apologies for any questions we've not had time to get to online. But the final ones related to buybacks. So when do you plan to start your share purchase program? And is there any plan to implement share buybacks as a way of returning capital to shareholders?
Matthias Seeger: We announced a share purchase program. Again, the intention is to mitigate the dilution through the employee share issue program. We -- the order of magnitude is 3 million to 4 million shares every year. We intend this to be an annual program and it will start before the end of this year. Any further return of cash to shareholders will be discussed and agreed by the Board at the right time. But as we always have iterated, we are not in the business of holding back retaining cash. We will return -- either we will use surplus cash to invest to drive future growth of the business, delivering rate of returns beyond what a share purchase program, share buyback program could deliver and/or we look at other ways of returning cash to shareholders considering all options, including share buyback.
Darcy Willson-Rymer: Brilliant. Thank you, everybody. Thanks for attending. Thanks for those that have joined us online and safe onward travels.
Matthias Seeger: Thank you.